Operator: Good morning, ladies and gentlemen. And welcome to the OceanaGold Q2 Period Ending 30th of June, 2015 Webcast and Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on, Thursday, July 30, 2015. I would now like to turn a conference over to your host, Sam Pazuki. Please go ahead.
Sam Pazuki: Good morning. And thank you for joining us on the OceanaGold conference call and webcast to discuss the second quarter 2015 financial and operating results, and the business combination with Romarco Minerals, which we released earlier today. My name is Sam Pazuki, Investor Relations Manager for OceanaGold. All references in the presentation you are about hear are in U.S. dollars unless otherwise stated or noted, and inherent to the international financial reporting standards. Please note that the presentation contains forward-looking statements, which by their very nature is subject to some degree of uncertainty. I will now turn the presentation over to Mick Wilkes, Managing Director and CEO for OceanaGold.
Mick Wilkes: Thanks, Sam, and thank you to everyone for joining a tea today and what is a very exciting day for OceanaGold. I am enjoying here in Vancouver by Darren Klinck, Head of Business Development; and Liang Tang, our company’s Secretary and Counsel. And in Melbourne, Mark Chamberlain, the CFO; and Michael Holmes, the Chief Operating Officer. Before we get on to the exciting news about the proposed combination with Romarco, we will go through the second quarter results. And again, we had a strong operational performance across the business. Gold production was 85,853 ounces, giving a total of 177,000 ounces for the first half of the year. At an all-in sustaining cost was $734 per ounce. The free cash was again strong from the business with just $17.3 million produced in the second quarter and $36.7 million produced for the year-to-date. We have completed the underground -- development of the underground portal at Didipio and work there is progressing well. Additionally, we made a strategic investment in the very promising Gold Standard Ventures Company exploring in Nevada, which is exploring in the Carlin Trend. We commenced further on exploration, we commence the geophysical survey at our Paco tenements in Mindanao and have anticipate some promising drill targets. Additionally, we are reported encouraging drill results from our Macraes Goldfield which could lead to further extensions in the mine life there. Moving to page four on the Q2 results summary, and Didipio had another strong quarter -- just over 30,000 ounces produced of gold and copper just under 6,200 tonnes of copper and at -- and filed just under 30,000 ounces of gold and 5,400 tonnes of copper at cash cost of $78 per ounce. In New Zealand, another solid quarter with 55,800 ounces produced, in total 53,000 ounces sold at a cash cost of $810 per ounce. The consolidated production, as I mentioned, over 36,000 ounces of gold, 6,200 tonnes of copper, sold 83,000 ounces of gold and 5,400 tonnes of copper at a cash cost across of $549 per ounce. Moving on to Philippines highlights and as I mentioned, we had another strong quarter at Didipio. Most notably, for those on the call, you will know, the record quarterly mill feed is 938,000 tonnes, which is an annualized rate of approximately 3.8 million tonnes per annum, against [indiscernible] forecast production of 3.5 million tonne per annum. The underground portal has been completed and we are down about 200 meters plus with the development, which is tracking to schedule and costs. As I have mentioned, we completed the geophysical survey Paco and are preparing to drill there. The other capital works at the Didipio is the power line, which is advancing well and on track for connection in the fourth quarter -- early in the fourth quarter. For those of you that do buy co-product accounting and sell by-product accounting, total production in gold equivalent ounces for the quarter at Didipio was 57,500 ounces at cash cost of co-product basis of $616 per ounce and on the full year -- year-to-date basis just under 120,000 ounces of gold produced gold equivalent at an all-in sustaining cost of just over $700 per ounce, so a continued very solid strong performance from Didipio operation. Moving on to the operating statistics at the Didipio, we did have sadly one lost time injury at the Didipio, but generally the safety performance at the Didipio continues to be solid and improving, with hazard identification continuing to be on the increase. The ore mined was 1.29 million tones, which is down from the previous quarter, as expected as part of the mine plant. The total life was also different to the first quarter and that was up by to 6.9 million tonnes against the 4.8 million tonnes in the first quarter, as a result of the accelerated stripping of the last stages of the open pit, which we will finish in 2017. Ore grade mined was in line with the previous quarter as was copper grade -- so copper and gold grades were in line with the previous quarter. As I mentioned, very pleasing results with the mill feed, 940,000 tonnes put through the mill in the second quarter, up from the 830,000 in the first quarter and year-to-date 1.77 million tonnes milled, so the plant is going very well. Mill feed grade was down as expected, 1.13 grams per tonne and copper grade at 0.7 and this is the function as we had explained before the sequencing in the mined schedule. Recoveries are slightly lower in gold and copper, but only as a result as of the reduced high grade. Moving on to New Zealand, as I mentioned, gold production there was solid, the exchange rate continues to work in our favor, the challenge ForEx exchange, the New Zealand dollar is trading at around $0.67 to the U.S. dollar. The actual average exchange rate that was received in the second quarter was just under $0.72 to the U.S. dollar. So we continue to benefit from falling exchange rate as the -- which is offsetting the decline in gold price that we have seen over the past month or so. Similarly, we are benefiting from the continued lower fuel price, albeit it was slightly higher in the second quarter, it is now down to $0.55 per liter. As I have said, we have had really encouraging drill results from Macraes Goldfield, both from the underground exploration and the exploration at surface, which is likely to increase the mined life both open pit and underground at Macraes further than we have previously reported. We have advanced the Macraes Gold Tungsten Project to the feasibility stage and we will progress on that over the course of the rest of this year. We have had strong production at Reefton as the operation transitions into care and maintenance, and for me this is a very pleasing performance in Macraes asset, while the team there risen as we move into that next phase. The Waihi Gold project transaction is got legal -- had legal closing and we expect the regulators approval in third quarter or middle of August there about, so the transition project -- process for Waihi is going very well and we don’t expect any hiccups there. We will providing an updated guidance and forecast on production for Waihi following approval by the regulator and gaining legal ownership of the asset. Moving to the next slide, let’s talk about the Goldfield operating statistics, a good safety performance there with no lost time injuries. Again at Macraes, solid gold production, just under 36,000 ounces, 610,000 tonnes mined and 200 from the open pit and 250,000 tonnes mined from the underground, 6.5 million tonnes stripped in waste and that’s mainly from the current open pit as we extend the development of that pit and ore mined grade was slightly up at 1.37 grams per tonne. Mill feed was solid, mill feed grade was as expected and recovery was slightly down as a result of the metrological characteristics of the current open feed. Moving on to Reefton and the operating statistics there on slide #9, again no lost time injuries at Reefton, which is a very pleasing results, given the status of that project. Gold production was strong just under 20,000 ounces, ore mined 600,000 tonnes at 1.75, sorry, at 1.35 grams per tonne waste as expected 1.75 million tonnes only. Mill feed was solid at 440,000 tonnes and mill feed grade at 1.67, recovery was up because of the slightly elevated feed grade, so really good performance at Reefton and thank you to the team there. Now I will pass on to -- sorry, the financial position as of the 30th of June, still strong, generated $17.3 million in cash flow, as I mentioned, in the second quarter and just under $37 million year-to-date, which is on track despite the lower commodity prices. We did make a dividend payment of $12.2 million in the second quarter and we invested $13.4 million in Gold Standard Ventures and we repaid $3 million in debt in the form of equipment leases. That left us with cash of $49 million and undrawn credit facility is $72 million, giving us total liquidity of $121 million at the -- as of this 30th June and the net debt of $52 million, so we are in a very strong and healthy position to move forward. I should that subsequent to the end of the quarter, we did received approval and have the documents executed for returning the credit facility back to the $225 million limit to allow for the payment for the Waihi project and so a total liquidity as of today is close to US$220 million. I will now pass on to Mark Chamberlain to just talk about the consolidated financial results and cash flows on slide 11 and 12. Thanks, Mark.
Mark Chamberlain: Thanks, Mick. And looking at that table on page 11, our quarter-on-quarter basis gold sales and copper sales was slightly down from the -- in the second quarter, compared to first, but comparing half year to half year we are at as you will there the gold sales were up about 3,000 ounces and copper was down 1,300 tonnes. But the real story is said in the next line when the gold price received quarter-on-quarter about the same gold. For Copper, we had a higher receive in the second quarter than first quarter as we indicated in last quarter’s presentation, had been impacted for accounting purposes by final price adjustments and mark-to-markets on shipment ship to be finalized. But that difference on a half year to half year is some $106 on the gold price and $0.70 on the copper price illustrates through to the revenue lines with the difference between the two half years. As we had $297 million in 2014, this year it’s $354 million. As you can see, operating cost for the half year were slightly lower compared to 2014 half year. Costs were up both for this quarter compared to the first quarter of 2015 and that’s about more wise thing in mind than more movement and rehandling particularly in the Philippines and slightly higher oil cost. That misfits with an EBITDA for the second quarter of $40 million comparing that to $60 million in the first quarter, a healthy $101 million for the first half EBITDA. Current slide, net down to earnings before tax was sitting at $36 million for the first half of the year, impacting as you see in the last lines is the fair value advantage of undesignated hedges that’s the unrealized mark-to-market on our New Zealand dollar gold hedges that we saw at the end of period quite high and New Zealand dollar gold price, that had an impact of $15 million in the second quarter, resulting in the net loss for the second quarter of $1 million but for the half year $23.5 million net profit. Moving to the next page, where we set up the cash flows. The opening cash balance for the quarter was $59 million, operating cash inflows is $42 million, our investment of $38.3 million, and off that $38.3 million, $13.3 million was the investment in the Gold Standard Ventures, financing cash outflows were $15.2 million, off that $12.2 million was the payment of the dividend. First when we saw overall a decrease in the net cash and leaving us with a closing balance of $48.7. The actual free cash flow generation for the two quarters, the first and second were very similar and resulting in a $36.7 million free cash flow generation for the first half of the year. For those out there, we have the table at the last setting the CapEx breakdown between non-sustained, sustained, pre-stip and exploration. Clearly, the non-sustained we had Didipio underground and power grid for $8.5 million and sustained, it was the division of Didipio river and in fill drilling that we have been completing in New Zealand. The pre-strip picked up the movements in the stage 4 and 5, 6 of Didipio and now Coronation in New Zealand totaling 9.4 million. And overall that is around about $1 million in exploration primarily directed at -- in the Philippines. I’ll hand it back to Mick.
Mick Wilkes: All right. Thanks Marks. And looking ahead, this quarter confirmed that we’re well on track to deliver our 2015 guidance. As Didipio’s continued strong performance there in production and the underground development, we’ll continue its advancement as well the power grid connection. In New Zealand, we’re excited about the additional production at a lower cost that will come up with the acquisition of the Waihi Gold, and I will just remind the audience that we have started accruing the economic benefit of Waihi as of the 1st July this year, following acquisition of the operation. We will commence the optimization study and exploration and of course, we’ll continue our exploration program with Macraes. We’ve got really important thing, the exciting thing I want to talk to you about is the New OceanaGold and the proposed transformational transaction between us OceanaGold and Romarco. So moving right along, I’m thrilled to be joined this morning by my friend and now business partner, Diane Garrett. Diane is the President and CEO of Romarco Minerals Incorporated, to discuss the acquisition of Romarco and entire gold mine of OceanaGold. Along this call, we intend to discuss the strategic rationale of this deal, the terms on which will be, it has been proposed and then the opportunity that lies ahead for the New OceanaGold. But first and foremost, in Romarco, as you held this, we read one of the lowest cost gold development assets owned by junior today. Our business development team has been actively evaluating value enhancing opportunities, since we successfully commissioned the Didipio in the Philippines. Romarco’s higher gold transit is a project we have closely followed and following the success of completion of the permanent prices like last year. We began to engage with Diane and her team, a better combination that we felt would create a premier gold money company for more than decade to come. Importantly, both companies pricing environmental and board of management and local community’s strengthened relations as key foundations of our business. This environment creates a synergistic value based approach to our business going forward and I’m really excited about the future of the New OceanaGold. We have had a lot of discussion of like how this is the time for great gold companies to be created albeit we are, of course, in a time of tremendous volatility. The current disclocation in the gold equities market, particular at the development end of the spectrum has provided Oceana with a powerful opportunity to acquire a tremendous asset at a fair price. I couldn’t be more excited about the next phase of growth for our company. As some of you might call this courageous or perhaps even kind of cyclical but we see this as a fantastic opportunity but further insulate our business to lower commodity prices as well as establishing a foundation that we see -- that we’ll see at New OceanaGold on a firm footing going into the next decade. So now turn your attention to the presentation. I will be making some forward-looking statements on slide number two. I’d like to refer you to the cautionary statements on those slides. The participants are on the call on slide number three. I will talk to the rationale of the transaction. This slide highlights why we are doing this deal, why I’m so excited about what we’re creating. I believe that the new OceanaGold will be quite simply the best intermediate gold company on the planet. This transaction further cements Oceana’s position as the low cost gold producer. Once Haile is in production, Oceana will be further insulated from the volatility of precious metal’s markets by operating two long-life low cost assets. The asset also diversified their production profile to three great jurisdictions and more than 75% of our 2017 gold production will be from U.S. and New Zealand. We will discuss more in detail later in the presentation but financial flexibility that this combination provides will be a key value driver. Our free cash flow even in the current commodity price environment couples with our current cash balance and undrawn room in their credit facilities, when added to Romarco’s meaningful cash balance and manageable mining capital expenditures will provide flexibility that we expect will allow us to draw significant financing-related cost out of the U.S., out of the combined business. Further, we’re very excited about the operating synergies. We know we can bring -- we know we can bring to complement the outstanding group of technical professionals that Diane has assembled. OceanaGold has been successfully operating since 25 years in New Zealand and we more recently successfully delivered the Didipio project on time in 2013 without any material issues. Now the development team is fairly considerable in amount of time and higher level of past few months and there are number of crossovers in terms of team members having worked together. We’re having common acquaintances. In short, we’re jumping in the deep to get involved with this exciting project and to share our experience and expertise. On page five, stepping back to see what makes a winner in the gold business. And as we think about why this combination works so well, we realized that when we see we have a top notch operating portfolio in the history of execution, we would like to have another tier 1 development asset, in short, another Didipio. In bringing together OceanaGold’s and Romarco’s many attributes produces what we feel is a new industry later. Page six highlights the terms of the deal itself. Oceana is offering 0.241 of a common share in its exchange bridge for Romarco share, for an implied price of $0.68 per share yielding a spot premium of 73% and a premium of 71.8% on a 30-day VWAP basis. As a consequence of the deal, OceanaGold shareholders will own 51% of the combined entity and further Romarco shareholders will own 49% of the New OceanaGold. From Romarco is entitled to appoint a Director to the OceanaGold Board of Directors subsequent to closing the transaction and OceanaGold will retain the local management team and the employees at Haile Mine. Diane will start actively involved with advancing the Haile project particularly focused on the important local stakeholders engagement. The deal has received the unanimous support of the Board of Directors of both OceanaGold and Romarco and the senior officers and Directors of both companies have entered into voting support agreements. I’ll now turn to the pro forma capitalization with brief review. We will be issuing around 299 million shares so the combined company will have an approximately 603 million basic shares outstanding. At the closing price yesterday, it’s C$2.83 per share. This would equate to a market cap of approximately C$1.7 billion with cash of approximately C$320 million and debt of C$260 million. So, net debt free with a market cap of C$1.7 billion. As you will see on an analyst consensus, P/NAV basis, we are paying 0.76 times compared with their multiple of 1.09. The key numbers to highlight here are 2017 production of more than 540,000 ounces. And all-in sustaining cost of less than $560 per ounce. And obviously that still leads to very attractive profit margin even at $11,000 gold price. I’ll now move to slide number 8 and pass over to Diane. But before I do, I just want to state that our business development team has spend the last two years patiently researching and evaluating opportunities to diversify and complement our asset portfolio, including high-quality development projects that we believe would be on the lowest quartile of the cost goods. The Haile represents a premier gold project. It’s one of the highest grade open-pit gold developing projects in the gold sector. So, I will now pass over to Diane to describe the Haile Gold Mine then what we find so attractive. Thank you, Diane.
Diane Garrett: Thank you, Mick. Appreciate it very much and good morning to everybody on the call. Thank you for dialing-in. In light of the announcement of this transaction this morning, Mick and I thought this call would be a really good opportunity for me to give you an update on Romarco and where we are in the construction cycle. And then also for those of you who may not be as familiar with Romarco or the Haile project, I will give you the highlights of the uniqueness of that asset, which clearly the Oceana team is excited about as well as us. I’m in South Carolina and I’m here with Dan Symons, our Vice President, Business Development as well as Stan Rideout, our Chief Financial Officer and Jim Arnold, our Chief Operating Officer. If you have any questions for us on Haile or anything else, please feel free to call us. We posted our South Carolina office number on the press release and we’d be happy to take your calls throughout the day. We don’t want to steal the show here on the presentation by OceanaGold, but we certainly do want to give you our views on what’s going on with Haile and the excitement that we all feel for this transaction. First off, for the Romarco and Haile Gold Mine employees and all the local stakeholders in South Carolina that are listening-in, I want to start by addressing what this transaction means for the Haile Gold Mine. I know David Thomas, our General Manager and I have already reached out to many of you this morning to provide additional clarity. This proposed transaction means that we will have a much stronger foundation for the operation of Haile. I’d like to note that the Oceana’s corporate culture is very, very much aligned with Romarco’s and that is a very key important aspect of this combination of our teams. Safety of the employees and respect for the environment and supporting local communities are all of those shared values of both of our companies. Oceana has a solid track record of operating safely with the same technical and environmental integrity as we do at Romarco. And they are recognized as excellent mine builders and disciplined operators. Their expertise combined with ours makes a very, very powerful combination for our two companies. And this transaction won’t change things at Haile, as you know them within the community, but it just makes the companies a lot stronger as we go on to develop the Haile asset. So at the Haile Gold Mine, it will be business as usual and we will continue to see our team and David Thomas and the other mine employees that you know in the area. So those on the call that may not be as familiar with Romarco and the Haile asset, I just wanted to touch briefly on the Haile Gold Mine. It is projected to be one of the lowest costs and highest grade open-pit gold mines in the industry. The project is fully permitted. It is fully financed and we began construction in May of this year. We expect that our first gold pour will be sometime in the fourth quarter 2015 and then the full ramp up to production will be later in 2016 and then to the early part of 2017. This area was one of the first areas for gold discovery in the United States and it actually is credited to retain the first gold rush in the United States, long before the California gold rush. And it was so significant at that time, providing the only source of gold in the U.S. that it would evolve Charlotte, North Carolina into a banking center that’s second only to New York today. It was also known as the city where street pace devoid and the gold production from this area was so significant that the second month was placed in Charlotte, North Carolina. There continue to be extensive mining throughout the 1800, 1900s, even at the Haile property, which was actually mined for sulfur during the civil war for explosives. But the early modern day mining that occurred was fairly limited with a couple of projects in the 80s and early 90s. But when the gold market collapsed in the late 1990s, all gold production cease the final project to be producing with the Ridgeway Mine, which was then operated by Kennecott and Selco. And that closed in ‘99 and there has been no further mining in this area. We took a different approach than all of our predecessors when we came into this property in 2007 and we interpreted the geology differently. We saw it continue to have very strong potential and we demonstrated through all of our work here that large deposits remained undiscovered in this area. And there have been hundred and hundreds of the historic gold mines throughout, what we call the Slate Belt of the Southeast and we just don’t think it’s possible that Haile is the only substantial sized project out there and we are going to be looking forward to cranking up additional exploration with our new partners here. The project that currently puts about 4 million ounces in the measured, indicated category, with an additional 800,000 in the inferred category and remains one of the largest of highest grade open-pit gold mines in the industry, coming in at over 2 grams of tonnes. And we like to say that Haile checks all the right boxes. I mean, clearly we are in a safe jurisdiction politically in the United States. We have kept the property royalty free, low cost, manageable CapEx of about $331 million, high-grade at over 2 grams. We see tremendous upside potential and we’ve had three underground discoveries since we completed the feasibility back in 2011. It’s significant in its size and we also are on private land that means we owned surface minerals and water rights. We own all of our land in fee simple ownership and unique to a lot of mining operations, we have excellent infrastructure. The mine is right off Pate Road. We have power, water, electricity. This will be a very interesting operation because we can get cranes of any size we need within 30 minutes of the mine site. We are not going to have to inventory a lot of equipment like that. South Carolina is the largest exporter of off-road tires in the United States. Nucor Steel has a facility here. So for most mining operations who will have to order equipment items then have them in inventory or bring them in from other locations or bars and time delays, we will not have that problem here in the State of South Carolina. And their project is great. We’ve got a strong institutional shareholder base to support it and we are 70% owned by institutions and they have supported and funded this project all the way through and we raised $300 million in equity earlier this year for development of the Haile gold mine and we really appreciate all of that support. As I mentioned earlier, we begin construction in May and is been going very well over the first few months. Since we financed the project, we’ve had most of our mobile mine fleet developed, which has been residing in one of several caterpillar dealer locations within the State of South Carolina for the last couple of years. We have commenced the earthwork activities, which include timbering and site clearing areas for our facilities. We completed drilling of the depressurization wells or the dewatering levels and we kick the pumps onto those we before lost and started lowering the water table at Mill Zone, which is the first pit that we will be mining. We have set up all of our construction offices and we are continuing to complete all the storm water control at specific facility areas. We have seen our construction contracts, coming in or slightly below budget and as of June 30th of this year, we have moved approximately 123,000 short-term of materials and I’m very pleased to say that we hit our targeted tonnage for the month of July on July 19th. So, we are slightly ahead of schedule in that area of the project. From a big picture perspective relating to schedule, we intend to be mining sulfide material by the end of the year. That means that everything necessary to be at that point will have been completed, which includes lining our other burden storage areas, completing all of the pre-stripping at the Mill Zone and completing the construction of the water treatment plant. The initial capital for Haile was US$333 million, of which $77 million has already been spent as of June 2015 and that does include $14 million that was spend in the second quarter alone. So everything is tracking extremely well with our internal budget and the project remains on schedule and on budget through the early stages of our construction activities. With respect to exploration and additional potential in the area, we’ve always said that we believe we are in a district in this Slate Belt and it’s unfortunate that we have to idle our drill rigs in April of 2013 in order to conserve our cash for the permitting process. But once the permits were issued, we were able to take our five owned drill rigs and put them to work on drilling the depressurization wells and that was completed in June. We recently took two of those rigs and turned them onto exploration on two of our regional properties and as we continue to believe that Haile is situated on the [indiscernible] on drift, it’s the drift we are excited about what we see with not only the regional properties that we own. But those that we have been putting on ours to be acquired list that our team has been now doing a lot of field work over the last couple of years. Our teams very excited to have those rigs turning again and hope that we will be able to do a lot of additional work on the exploration side with our new partners and Oceana and we look forward to getting the results of this phase 1 drilling program out to the market. At Haile, as many of you know, we had initiated the process of updating the mineral reserve and resource estimates earlier this year. This work is ongoing but what is very clear at this point is that the underground inhale has the potential to be quite significant and we are seeing that in the preliminary work that we’ve completed so far. So, we have made a decision to continue to study that a little further with the view towards looking at the underground and how that may play in to the overall mine life before we release those results. Oceana has extensive underground mining expertise and our teams has been and will be working closely together on how to optimize that potential and deliver the value to the shareholders. So in short, it’s going to be a very exciting year for the Haile Gold Mine. On behalf of our Board and the entire team, we appreciate very much the support of our shareholders for supporting us through the permitting and phase of the Haile project and the development of it and we also thank you very much to the town of Kershaw, the Country of Lancaster and the great State of South Carolina. And Mick, I will turn this back to you.
Mick Wilkes: Thanks very much, Diane. Now if you’ve heard Diane’s comments, I will have to say that during the due diligence process, we’ve done a thorough review of the reserves and resources there and I can assure you they are robust. And we see a lot of opportunity here both increasing reserves through mine optimization studies and increasing resources through exploration drilling. And that said, we will work over the next 6 to 12 months following the closing of the transaction before we provide our thinking to the market. I will say that our underground mining experience we believe -- with our underground mining experience, we believe there are some very promising options that should be reviewed. Diane and her team done an outstanding job garnering community support, and in fact she is in South Carolina presently sharing which stakeholders own the ground and use the exciting business combination. Moving to the next slide on the pro forma profile and it is the key attributes at New OceanaGold that I am most excited about. Now production profile will grow at a compound rate of 20%, while that all-in sustaining cost will decrease to approximately $550 per ounce. It’s very rare today to be able to grow production and reduce cost simultaneously, and to do so with the Tier 1 jurisdiction, with the permitted project, which is under construction. The production base would be divested among three key regions each with their own attributes, while Haile’s gold rich profile increases OceanaGold’s standing as the gold producer. Moving on to peer benchmarking, this highlights the industry leading margins on a relative basis and in the current environment of gold price volatility, this chart further underscores the importance of having a competitive cost structure. Not only is the New OceanaGold competitive, it is the leader. With 30 years in this business, I no had difficulties to get the hands on a Tier 1 project and this individually control by the majors. While in my opinion, we are one in the Didipio and Haile will be the second. As you can see, even at $1100 per ounce gold prices, Haile business will generate almost 50% gross margins. This compares favorably against all of that peers and it is the reason we refer to ourselves as the low cost gold producer. Benchmarking exercise continues on the next page suggesting potential for meaningful re-rating as the long-term nature of our assets. Combined with the quantum of our cash flow, we feel that we will be traded more inline with our peers on this metric. I will now move to the topic of financial flexibility and hand over to Mark Chamberlain, our CFO to discuss this further.
Mark Chamberlain: Thanks, Mick. By turning to that slide 11, our conservative balance sheet coupled with the substantial cash flow from our existing operations, of course there is a lot of flexibility as we turn our attention to the funding of the New OceanaGold Corp. Romarco has been successful and putting in place both the project financing and equity required to commence construction, and that’s the real demonstration of the credibility of these assets and the strength of the team behind it in achieving such a result in a difficult market. Our congratulations to Romarco’s CFO, Stan Rideout and his team on achieving that. I feel strongly now this is a true multi-asset diversified producer. With existing strong cash flows, we will be able to implement an ongoing funding program for Romarco and reduce the financing cost, the free up cash that is currently restricted. And this means cost savings that can be delivered straight to the bottomline. As you can see on this slide our current debt profile compares very favorably to our peer. Going forward, I would also expect a relatively low cost of capital to further improve under the New OceanaGold. In summary, OceanaGold has a multitude of funding options, which can provide flexibility, and importantly, reduce cost going forward. I will give it back to you, Mick.
Mick Wilkes: Thanks, Mark. Moving to the next slide, another read why this transaction made so much since to us is that the market has rewarded on execution. Over the course of the last three years, we at OceanaGold have brought Didipio in the production, optimized that operation, improved then added to our New Zealand operations, rapidly paid down debt, and instituted a dividend policy, and all of this has been consistently rewarded by our shareholders. Our shares are up over 45% over this period, while our peers have lost on average 74%. And as we step into the next phase of growth, we see the addition of Romarco as an amazing opportunity to continue to build on our tract record of delivering on our commitments. We are confident that we will continue to execute and that the market will continue to reward us. I will now move to the benefits to OceanaGold shareholders, which is a group, which includes me and new management team. As I mentioned earlier, we see that transaction is launching a new, very high quality company with the great growth profile. Haile represents one of the best development projects currently owned by junior featuring all-in sustaining costs of $414 per ounce in a top-tier mining jurisdiction. Once Haile is in production in 2017 and added to Oceana’s current profile, our company will produce in excess of 540,000 ounces at the lowest all-in sustaining cost on the planet. We also believe that Diane and her team’s singular focus on bringing Haile to bear, there are most likely significant additional resources and regional exploration opportunities. Lead the deleveraging from the Didipio construction team and our financial flexibility owing to our current cash flow and our conservative balance sheet structure to further reduce both capital and financing costs. The deal is already highly accretive on a net asset value basis and future cash flow basis and these opportunities will boost that accretion on all other per share metrics. We also see an opportunity for our shares to rewrite based on the industry leading profile. While we have been fortunate to try towards the end of our peer group on a P&L metrics, our current cash flow metrics have been discounted owing we believe to the perceived limited mine life at some of our assets. We believe that our cash flow metrics will improve when the market understands the cash flow potential of the New Oceana with two long life Tier 1 assets to go with the New Zealand business that is being expanded through the Wahi transaction along with the 20 plus year history of both of those gold fields at Wahi and Macraes in New Zealand to go on extending their mine life. I would now like Diane to discuss the benefits to Romarco’s shareholders. Thanks, Diane.
Diane Garrett: Yes. Thank you, Mick. Appreciate that. So the benefits to Romarco shareholders, I mean they are I don’t think enough to set all on one page here. But clearly Oceana has recognized the value of Haile and the future potential of this area, and therefore the premium to the Romarco’s shareholders in this transaction is quite significant and is just under 73% based on the closing price of July 29 and just shy of 72% based on the 30-day VWAP of our closing prices. By combining these companies, our shareholders are going to get immediate exposure to cash flow in operating mines, clearly as stronger financial platform and combining the expertise and the skill sets that Oceana has with our teams and really exploring the area. At that diversification, clearly as a single asset company, we all know that deal a lot more vulnerable to volatility in the market and other issues to diversify away from the risk of the single asset is a positive for our shareholders. Aand we have access now to a very attractive credit facility that Oceana is able to command and bringing our teams together and focusing on the underground and the future upside that Haile is going to help deliver additional value to our shareholders in a much shorter period of time than we would have been able to do on around with our limited capital. Thank you, Mick.
Mick Wilkes: Thanks, Diane. Before we go to acquire some guided question, I want to leave you with four key points. The New OceanaGold will be the low cost producer. Secondly, we will feature a diversified business with three key jurisdictions and two long life low cost assets. Thirdly, our operating team’s track record will bring valuable experience to the construction of Haile. And fourthly, I want to make it abundantly clear that we are fully financed to undertake all of their capital projects. So with that, I will now move on to questions.
Operator: [Operator Instructions] Your first question comes from Reg Spencer, Canaccord. Reg, please go ahead.
Reg Spencer: Thank you. Good morning I should say Mick and congratulations on another good quarter. I’m probably going to focus on the Oceana results and productions results ongoing well I guess the Romarco’s stuff. Just a couple of quick questions for me. Just for those milling rates to Didipio, can maybe sustained as they were reported in June quarter?
Mick Wilkes: Thanks for the question, Reg. So we said that our mills throughput rate is 3.5 million tonnes and we would do that this year and we are on track to achieve that. So 1.77 million tonnes for the year-to-date means that we are on track to hit that for the full year. We had a very good quarter in the second quarter having the new grades from [indiscernible], which allowed us to get up to that annualized rate of 3.8. But we also had very low downtime and we didn’t have any major shutdown. So you’re going to have swings and roundabouts with these things. We are extremely confident as all said before that we will hit the 3.5 million tonnes this year and we can do better as we have done in all of our operations to squeeze extra value have in the assets. So we will continue to push hard to get the tonnage up on the plant, and hopefully we can hit 3.8 at some point in the future, but for the time being the forecast is 3.5 this year.
Reg Spencer: Okay. That’s great. Thanks. Just I was actually going to ask a question about when you would be putting your Wahi guidance out into the market with you obviously stated that that will come next month perhaps. Look just one of the very minor question. So the remaining stockpile at Reefton and any tonnes and grade?
Mick Wilkes: Let me add some guidance, looking to do around 60,000, 65,000 ounce at Reefton this year. We are on track to do that. The mining will finish up in September, October. And then, we will be processing stockpiles for the remaining three months. So at a guess, you’re looking at around about 300,000 tonnes of stockpile to be traded after the mining finishes.
Reg Spencer: All right. That’s great. Thanks, guys. Congratulations on the transaction by the way.
Mick Wilkes: Thanks, Reg.
Operator: Thank you. Your next question comes from Don Blyth, Paradigm Capital. Don, please go ahead.
Don Blyth: Hi, there. Congratulations on an intelligent acquisition. I think you said it well this is the time for great gold companies to be created and the crowds are running now, but that’s a time to step in. Just one quick question on the presentation when you gave the price to now estimates. Was there a gold price given for that? What gold price is assumed?
Mick Wilkes: Yes. The price to that numbers that we used was consensus for the market, Don, so I was pleased on consensus across the industry.
Don Blyth: Okay. Fair enough. Thanks.
Operator: Thank you. [Operator Instructions] Your next question comes from Michael Slifirski, Credit Suisse. Michael. Please go ahead.
Michael Slifirski: Yes. Thanks. We’ll see -- maybe this is not a fair question to you, but really I’d like to understand if I may. Why was the Romarco Australia such a significant discount to go to license? Or what is it about that market that wouldn’t attribute value to that company? And would you rather take advantage of, that doesn’t make sense to me that there is two winners that regular premium and you get it at a discount?
Mick Wilkes: Michael, well, my general comments about the marketing, but if Diane wants to seek in my comment about her company. But at this market when you analyze the market, you got a real disproportion between producers and developers. And you look at the P/NAVs across the industry on consensus basis and the P/NAVs for producers like ourselves intermediates and seniors is one or above for thereabout and the P/NAVs for developers is half that. So there is huge disconnect in the real bifurcation of the market and that’s created this opportunity for us. We are driving at a good multiple at the moment, which has given us powerful opportunity to do that. Why that is the case? It’s a bear/bull market. People aren’t putting money into higher risk investment opportunities, whether it’d be a developer project, an exploration project or some other -- something else that requires finance with political risk or whatever. What is getting money is companies like ourselves that is delivering free cash flow, low cost of production, impermeable to low gold price and a really good long-term debt and that’s what’s created this opportunity for us.
Michael Slifirski: Thank you.
Operator: Thank you. Your next question comes from Richard Gray, Cormark. Richard, please go ahead.
Richard Gray: Hi, guys. So I was just curious on if you could provide any color on the process behind the deal, whether how long Oceana was looking at Romarco? What kind of due diligence was carried out?
Mick Wilkes: Yes. Richard, look, we won’t be commenting on the prices at the moment. There will be a circular coming out into -- which will go into detail a little of that. What I can tell you is that both Diane and I’ve been working on this for a long time now, almost seven to eight months. And so we’ve engaged for a long time and this hasn’t happened overnight. So, we’re very confident -- sorry, very, very focused on the opportunity and very confident in the outcome.
Richard Gray: Okay. Thanks.
Operator: Thank you. Your next question comes from Brett McKay, Deutsche Bank. Brett, please go ahead.
Brett McKay: Good morning. Just curious as to how much cash you’re actually acquiring with the transaction? Mick, you mentioned and one of the presenters mentioned there was some restricted cash?
Mick Wilkes: It was mentioned in the -- I think it’s quite exactly $260 million cash. Mark Chamberlain, do you stated exactly?
Mark Chamberlain: Mick, that’s based of the cash as at the end of the first quarter because Romarco yet to release their results. We’re not able to say exactly what the cash is with the combined group, but it’s around and that’s very indicative of it. And the restricted cash has been indicated before round about $20 million in the current project financing that Romarco has.
Mick Wilkes: Sorry, but on one of the slide on the pro forma capitalization, as of the ended Q1, Romarco had C$254 million. Now, I think, they now spend, as Diane mentioned around $58 million for certain development of the project.
Brett McKay: Okay. That’s perfect. Great. Just what I have got here, Mark, what do you say, do you say any risk around replacement of the finance facilities with a value just being greater and many cost evolved in that versus the lower cost of capital that mentioned that you can essentially bring to the table?
Mick Wilkes: Yeah. Mark.
Mark Chamberlain: Yeah.
Mick Wilkes: So I will let Mark answer that question.
Mark Chamberlain: No. There is not a risk to the facility that we’ve just putting in place, I mean, the banks will be delighted with it and evolves and are going to large couple of injection, reduction, political risk and bringing on an asset, which is putting substantially funded by equity. Our banks in fact have been encouraging us to make these sorts of acquisitions using our financials. And looking forth, we have to do our homework on how we’re going to fund this, but obviously, we have a quite of competitive banking situation and been approached by numerous banks and we’ll work the most appropriate low cost solution and most flexible solution we can. But we’re not -- as Mick said, we’re basically covered for the construction. What I’m talking about is the putting in place both, small liquidity buffer going forward and work with Romarco’s banks and our banks to come up with a best solution. We have to wait until legal closing until this deal is done, obviously, before we can make any move there. But no risk at all, because this is exactly what our banks are being encouraging us to do.
Brett McKay: Okay. Just one final one for you Mick. Just toward due diligence process and understanding that there are technical quotes about or outlines mine plants. Is there any particular aspect of the mine plant and now you’ve said that you’re comfortable with results of reserves that they’re solid? Any part of the mine plant based on -- you got an operating experience that you might do differently to generate at your outcome, relative to what documents in those technical reports?
Mick Wilkes: No. We’re very comfortable with the technical reports that have been produced so far and as we mentioned, as Diane mentioned, we see further opportunity through the development of underground potential and the results there. And we will apply our expertise in that to get the best value out of it. This is a resource that’s open a depth and clearly, in our view should have some underground component to it. But we’re really buying a high quality open pit operation with underground potential. And we’ll work, as we did with the Didipio, we will work and doing an optimization study over the next six to 12 months to unlock that value and I’m confident you’ll see it.
Brett McKay: Okay. Cool. Thanks very much, guys. Appreciate it.
Operator: Thank you. Your next question comes from Geordie Mark, Haywood Securities. Geordie, please go ahead.
Geordie Mark: Yeah. Good morning, all. Yeah. Great transaction by the way, I think, who is great Mick, Diane, and actually quite a good quarter there as well. In terms of Macraes, any updates in terms of when you thinking of putting out on users update and what you said of hiccup from on lost at mine there? And then having one another question there in terms of rolling out to Mick and Diane, development of Haile critical path items and when you expect to -- how you expect capital allocation this year and next, and first of all, incremental pull down on depth? So there is a few questions for me. Thanks, guys.
Mick Wilkes: I’ll answer to Macraes question and I’ll let Diane answer the Haile question. Yeah, the exploration at Macraes continues to be successful, all the detail in the press release we put out about a month ago, Geordie, highlighting some pretty good looking intercept north of Coronation, in between Coronation and Macraes, and also some of the under ground intercepts were pretty good. So the exploration program there was paying off. It is early days in terms of reserve, resources, but we will commence the drilling at the end of the year as we always do and produce our reserve statement and reserve statement update in March next year. The indications are that we’ll definitely have some mine lots in the open pit and underground. And as expected and as I previously articulated to the market, so an extra couple of years there is quite rightly. Diane, would you like to comment on the progress of Haile and the critical path stuff?
Diane Garrett: Sure. And I may ask you to re-clarify your question on capital allocation to understand exactly what you’re looking for there. On critical path items, we really have one primary critical path item and we need to be in a position of mining sulfide by the end of the year. So everything is basically in the mine department. In order to be able to mine sulfide by the end of the year, the water treatment plan has to be constructed and up and running, so we can feed all contact water. We have an area called Johnny Pappas for the potential asset generating sulfide material and that has to be lined and prepared material on it. We are pre-surfing right now in the Mills Zone and removing the clay sericite overburden material. As I commented earlier, it’s going extremely well. We are actually ahead of schedule right now on moving those tonnes. But opening up that first pit on time and having everything completed in order to be able to mine sulfide by the end of the year is the overarching critical path item. Everything rolls up into mining sulfides by the end of the year.
Geordie Mark: Great.
Diane Garrett: A question about capital allocation, could you clarify that for me and I will we happy to answer it?
Geordie Mark: Sure. Just wondering, how your budget is broken down between 2015, 2016 and how you look to where you think that will be incrementally drawn through that period as well?
Diane Garrett: Sorry. I’m talking to you and I had you on mute so. We will be spending the equity portion of our project financing mostly by the end of this year. And we have only drawn down $10 million of the project debt facility and we wouldn’t speak in tapping into that facility until probably the first quarter of next year. That assumes, that on completion of this transaction that debt facility will take in place. But as we noted earlier, Oceana has excess too much lower cost credit facility. So, we will see where that shakes out but the balance of our equity, little lower $100 million will be spend between now and the first quarter of next year. We have approximately $14 million of excess capital that we have intended to allocate towards exploration drilling and we are doing a little bit of that right now. We are pretty skinny on the available capital for other activities other than building Haile. And we are hoping that maybe we’ll take a close review of that with the Oceana team and see maybe we want to allocate additional capital to that area.
Geordie Mark: Thank you very much. That’s great.
Operator: Thank you. Your next question comes from the Ovais Habib, Scotiabank. Ovais, please go ahead.
Ovais Habib: Thank you and congrats everyone. Great deal, as well as great quarter. Most of my questions have been answered, but if you can just give me a breakdown in terms of 2017 estimate of 540,000 ounces of gold estimated production. Can you provide us, kind of a breakdown of those ounces, where those ounces are coming from in terms of which mine?
Mick Wilkes: I don’t have the detailed breakdown in front of me, Ovais. But I can give it to you in broad terms. You are looking at roughly 150,000 ounces of thereabouts, coming out of the first year of production at Haile, and around about 390,000 ounces coming out of combined New Zealand and the Philippines business. So, a strong year, particularly around 2017 and you remember that New Zealand will include Waihi. So, we will have the Macraes operations and the Waihi operations reducing in the order of 272,000, 280,000 ounces plus the Haile operations.
Ovais Habib: Okay. Perfect.
Mick Wilkes: Ovais, Darren has a bit more information.
Darren Klinck: Yeah, Ovais. Just for clarity there as well, but we based all those numbers on an analyst consensus basis as well, just to make sure that we’ve got an apples-to-apples comparison as well, so you should see that across the consensus space.
Ovais Habib: Got it. And that’s it from me, guys and again, congratulations on the deal.
Mick Wilkes: Thank you, Ovais.
Operator: Thank you. Your next question comes from Ryan Walker, Euro Pacific Canada. Ryan, please go ahead.
Ryan Walker: Hi. Thanks for the call. Echoing everyone else’s thoughts here looks like a really good deal. Just wondering -- as far as the -- how competitive process was it and I know you didn’t want to go into the details of the process, but was it competitive and the potential for competing bid to emerge?
Mick Wilkes: Look as I said, we weren’t commenting on the process and what this does. Diane, comment on that?
Diane Garrett: Yeah. What I would tell you is that the company have not announced shopping our company, but we have always been extremely mindful of our fiduciary due to the shareholders. There have been no shortage of companies that have signed confidentiality agreement with us. We have always kept the door open for everybody to come to due diligence on the Haile asset, we looked at and number of different types of combination and joint ventures before the equity window opened and we financed the project through equity. And even after the project was fully financed, we continue to have people come to the project. So we acted very -- in accordance with our fiduciary duty and there’s been no lack of opportunity for anybody to come to the property or approach the company.
Mick Wilkes: Ryan, I will add that as I said before that we’ve been working on this deal but I don’t know if we’ll be working on this deal for that eight months. And so it’s been a work in progress all through that financing in other activities to take initiatives that Romarco put in place. So this is not an overnight thing and a lot of root has been put into it. And I just focus everyone on the opportunity in front of us. This is a fantastic opportunity to create a really special gold mine and company and that’s why we said we’ll be waiting for it.
Ryan Walker: Yeah. I totally agree with that point. Just case, one other thing for Diane, the major shareholders you have, what kind of feedback have you had from them on the deal?
Diane Garrett: We’ve been on the phone with our major shareholders since early this morning. And the initial feedback from everybody has so far been positive. And they like the idea of consolidation in the industry and creating a low-cost goal producer with the stronger platform. So the feedback initially that we’ve been getting are very positive.
Ryan Walker: Great. Thank you and congratulations again.
Mick Wilkes: Thanks, Ryan.
Operator: Thank you. Your next question comes from Paul Hissey, RBC. Paul, please go ahead.
Paul Hissey: Hey. Obviously this is a great transaction so fast subject to the shareholders. Is there any other conditions on the merger?
Mick Wilkes: No. there is no condition to be said this far.
Mark Chamberlain: Apologies. The customary regulatory in shareholder approvals.
Paul Hissey: All right, guys. So nothing to do with the [indiscernible] activity?
Mark Chamberlain: No.
Paul Hissey: Okay. And just quickly from me, just to confirm, the financial accounts as of end of the June, as I won’t have the drill down effects for the Waihi transaction. Is that correct [indiscernible]?
Mark Chamberlain: That’s correct. They will be making that timing in August most likely.
Paul Hissey: Okay. All right. Thank you.
Operator: Thank you. Your next question comes from Jeff Killeen, CIBC. Jeff, please go ahead.
Jeff Killeen: Thanks very much for your time and congrats on the announcement. Just wondering you had indicated Mick that you see this deal as immediately accretive and that it would be accretive on a per share basis as well. Just wondering on your slide 21, that seems to indicate on a pro forma basis you would actually be somewhat dilutive with this transaction on an NAV basis. So just wondering where -- if you see other opportunities for that value to increase or if you could clarify that statement?
Mick Wilkes: No. On the contrary, we don’t see this as dilutive on an NAV basis. This is accretive on a P/NAV basis for us. And this is what’s created the opportunity. And I think Jeff, we did 5%, in fact, on those active, this is putting two quality low cost business risks together and creating an industry leading company. We are investing in the long term. This is a long-term deal. This is the long-term transaction in setting up a new company. You can try all sorts of metrics out there for accretive -- accretion and dilution but this is a win, win for both companies on a number of metrics and -- on all metrics in fact. And so we look at it that way, definitely not dilutive on a net basis.
Jeff Killeen: Okay. Thanks. And then from a price standpoint, fairly significant premiums where Romarco was trading before this morning, just wondering how you arrived -- can you comment on how you arrived at that price point or that premium?
Mick Wilkes: Well, I said before we have been working at least for many months now. And we have seen the value, the logic of putting the three companies together. We can see the value in the assets. It’s even more accretive that lower gold prices to us. We see the quality of this asset has been -- and we would pay for this being fair value and then be partners who agreed with that. So it’s a good outcome.
Jeff Killeen: Great. Thanks very much. That’s it for me.
Mick Wilkes: Thanks Jeff.
Operator: Thank you. There are no further questions at this time. Please proceed.
Sam Pazuki: That concludes the webcast and the conference call for today. We thank everybody for their participation. Should you have any follow-up questions, please do so by contacting the company directly. Thank you very much. Bye for now.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.